David Strow: Good afternoon, and welcome to the Boyd Gaming First Quarter 2024 Conference Call. My name is David Strow, Vice President of Corporate Communications for Boyd Gaming. I will be the moderator for today's call, which is being recorded on Thursday, April 25, 2024. [Operator Instructions]
 Our speakers for today's call are Keith Smith, President and Chief Executive Officer; and Josh Hirsberg, Executive Vice President and Chief Financial Officer.
 Our comments today will include statements that are forward-looking statements within the Private Securities Litigation Reform Act. All forward-looking statements in our comments are as of today's date, we undertake no obligation to update or revise the forward-looking statements. Actual results may differ materially from those projected in any forward-looking statements. There are certain risks and uncertainties, including those disclosed in our filings with the SEC that may impact our results.
 During our call today, we will make reference to non-GAAP financial measures. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our earnings press release and our Form 8-K furnished to the SEC today, both of which are available at investors.boydgaming.com. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges and certain expenses.
 Today's call is being webcast live at boydgaming.com and will be available for replay at the Investor Relations section of our website shortly after the completion of this call.
 So with that, I would now like to turn the call over to Keith Smith. Keith? 
Keith Smith: Thanks, David, and good afternoon, everyone. Following a record 2023 performance, the first quarter of 2024 was a challenging start to the new year. While we knew our first quarter results in Nevada, we're comping to a record first quarter of 2023, our results for the quarter were also impacted by January severe winter weather in the Midwest & South and a softer Las Vegas Locals market in the first quarter. However, beyond these challenges, there were encouraging trends during the first quarter. Both in Nevada and across the Midwest & South, play from our core customers improved as we moved through the quarter.
 In our Midwest & South segment, once January severe winter weather passed, the revenue growth trends that began in the fourth quarter returned in February and March. In addition, both our Online and Managed businesses continue to produce strong results. And importantly, our management team stayed focused on maintaining operating efficiencies and a disciplined marketing approach as we achieved property level margins of 40% during the quarter, proving once again our ability to maintain a high level of efficiency.
 So now let's review each of our operating segments in more detail. In our Las Vegas Locals segment, the EBITDAR shortfall to prior year was a result of three main issues, each accounting roughly 1/3 of the decline. First, as I mentioned a moment ago, and as we discussed on our last call, our Locals segment was comparing to a record performance last year. While January was a particularly strong month last year, both February and March were also record months for the segment.
 Second, as expected, we also felt the impact of competitive pressures related to the opening of a new property in the market. The overall impact of these competitive pressures during the quarter was in line with our previously stated expectations of $20 million to $25 million in EBITDAR for the full year. And finally, on a same-store basis, the overall Las Vegas Locals market was softer than expected during the quarter.
 Despite these issues, the fundamentals of our Locals business remain intact. During the quarter, play from our core customers grew each month. And when excluding January, play from core customers increased on a year-over-year basis. Non-gaming revenues also grew in the Locals segment during the quarter, even with a substantial number of hotel rooms out of service for a room remodel project at the Gold Coast.
 And finally, we remain disciplined in our marketing strategies and focused on operating efficiencies. Even with lower revenues, we maintained margins of nearly 50% in our Locals segment during the quarter, consistent with our performance over the last several years.
 Looking ahead, while we expect competitive pressures and market softness to continue into the second quarter, we remain encouraged by continued strength in play from our core customers and confident in our management team's ability to achieve efficiencies throughout our operations and maintain a disciplined approach to marketing.
 Next, in Downtown Las Vegas, similar to our Locals segment, some of the shortfall to prior year was the result of comparisons to a record first quarter of 2023. Much of our strong performance in the first quarter of '23 was driven by pent-up demand from our Hawaiian guests. While we expected some normalization from last year's elevated levels, high airfares during much of the quarter of this year, kept more Hawaiians away than we had anticipated. In addition, gaming revenues in the Downtown market declined during the quarter with overall pedestrian traffic trending lower along Fremont Street.
 Looking at more recent trends, we are encouraged that Hawaiian visitation has improved over the last 30 days as airfares from Hawaii have started to decline from the elevated levels we saw earlier in the first quarter. While our two Nevada segments face comparisons to prior year record results and market softness, we continue to have long-term confidence in the Southern Nevada market. On an overall basis, visitation to Las Vegas continues to grow led by increases in convention business over the last 12 months.
 Employment remains a positive story as well, increasing 3.3% over the last 12 months. The strongest growth rate of any major metropolitan area in the U.S. This employment growth continues to be broad-based with gains across most employment sectors. The ongoing growth trends we see in visitation, convention business and employment, all bode well for the future health of the Southern Nevada economy.
 Moving to our Midwest & South segment. We saw encouraging trends during the first quarter. Our results were down year-over-year, and this was primarily due to severe winter weather impacting January. Beyond January, gaming volumes from our core customers grew, continuing the trends from the fourth quarter. And retail play in February and March was also encouraging, coming in nearly flat to the prior year, the best year-over-year performance we have seen in almost 2 years. We also saw growth elsewhere in the business. Adjusting for rooms out of service related to a hotel renovation project at our Ameristar St. Charles property, non-gaming revenues grew 4% in February and March.
 And our management team successfully maintained their focus on operating efficiently. Excluding the weather impact in month of January, margins were 39% for the quarter, similar to our recent performance for this segment. As we look ahead, we are encouraged by the improving customer trends over the last several quarters, and those trends have continued across our Midwest & South segment in April.
 Next, our Online segment maintained its strong level of performance with $20 million in EBITDAR in the first quarter, the segment matched last year's exceptional results. Attribute to FanDuel's industry-leading position in online sports-betting across the country. We are pleased with our Online segment's strong start to the year. And looking ahead, we continue to project the segment will generate $60 million to $65 million in EBITDAR for the full year.
 In addition to these financial contributions, we also continue to benefit from our 5% equity interest in FanDuel Group. This investment is growing in value with the success of FanDuel across the country, and it remains a valuable strategic and financial asset for our company.
 Finally, our Managed & Other business benefited from another strong quarter at Sky River Casino, which we manage on behalf of the Wilton Rancheria Tribe. Well into its second year of operations, demand at Sky River remains healthy. Thanks to Sky River's excellent performance since opening. The Wilton Rancheria Tribe is now finalizing plans for a major expansion of the property that will include additional casino space, a hotel tower and meeting and convention facilities. As a result of Sky River's continued strong performance, we now expect our Managed & Other business to generate approximately $86 million to $88 million in EBITDAR this year. While company-wide results were below prior year during the first quarter, we continue to generate significant free cash flow, allowing us to execute on our balanced approach to capital allocation.
 First, we are investing in our nationwide portfolio with the objective of driving long-term growth while enhancing the competitiveness and appeal of our properties. We are repositioning or upgrading many of our food and beverage outlets with nearly a dozen projects planned throughout the year. We are also refreshing and updating our hotel products. Currently, we are in renovating rooms at Gold Coast, Ameristar St. Charles and Blue Chip. And we are set to begin similar projects at the Orleans, IP and Valley Forge later this year.
 Beyond upgrading our property amenities, we are also nearing completion of our land-based project at Treasure Chest Casino. This project will transition the property from a 3-level riverboat to a spatial single-level land-based facility, adding significantly enhanced non-gaming amenities, expanded gaming options and convenient parking for our guests. Once complete in June, we are confident this investment will significantly enhance the Treasure Chest experience and position the property for long-term growth.
 While investing in our portfolio is a key part of our approach to capital allocation, we are also committed to returning capital to our shareholders. During the quarter, we repurchased $105 million in company stock while increasing our dividend for the third consecutive year. We intend to continue returning capital to our shareholders with $100 million per quarter in share repurchases and quarterly dividend payments. And finally, we remain committed to maintaining a strong balance sheet, which provides us with significant flexibility to navigate the current environment, execute a balanced approach to capital allocation and pursue opportunities.
 In summary, while this was a challenging quarter, there were many encouraging trends in the business, including continued growth in play from our core customers. We remain diligently focused on our disciplined marketing and operating strategies and our commitment to operating efficiently. And thanks to our significant free cash flow and strong balance sheet we continue investing in our properties while returning substantial capital to shareholders.
 Thank you for your time today. I would now like to turn the call over to Josh. 
Josh Hirsberg: Thank you, Keith. I'm going to provide a few additional details on the quarter. With the current trends in our business, we have remained disciplined in our expense management, resulting in property level margins of 40%. We have also remained focused on our core customer strategy and disciplined in our marketing efforts, which has been one of the keys to our success over the last several years.
 For our Online segment, our results include tax pass-through amounts related to our online partnerships. These amounts were recorded as both revenue and expense. During the quarter, the tax pass-through amount was $116 million compared to $96 million last year in the first quarter. In terms of capital expenditures, we invested $90 million in the first quarter, including investments in the Treasure Chest land-based project. We remain on track to spend $200 million to $250 million in maintenance capital during 2024, and $100 million in growth projects that you should think of as recurring. We also expect to invest an additional $100 million during the year in room renovation projects that Keith mentioned, bringing our total capital expenditures in 2024 to $400 million to $450 million.
 With respect to our program to return capital to shareholders, during the quarter, we repurchased $105 million in stock, acquiring 1.7 million shares at an average price of $63.62 per share. We also increased our quarterly dividend to $0.17 per share during the quarter, starting with the dividend that was paid on April 15. Since resuming our capital return program in late 2021, we have returned approximately $1.3 billion to shareholders in the form of dividends and share repurchases, and reduced our actual share count by 15% to 95.4 million shares. At the end of the first quarter, we had approximately $221 million remaining under our current repurchase authorization. Our capital return program is an important part of our capital allocation philosophy, and we are committed to $100 million per quarter in share repurchases.
 We finished the quarter with total leverage of 2.3x and lease-adjusted leverage of 2.7x, consistent with year-end levels. With low leverage, no near-term maturities and ample borrowing capacity under our credit agreement, we have created the strongest balance sheet in our company's history. As a result of our strong balance sheet and significant free cash flow, we have created significant financial flexibility to maintain a balanced approach to capital allocation, providing our company the ability to continue reinvesting in our portfolio and returning substantial capital to our shareholders while pursuing growth opportunities.
 That concludes our remarks, and David, we're now ready to take any questions. 
David Strow: [Operator Instructions] Our first question comes from Steve Wieczynski of Stifel. 
Steven Wieczynski: So I just want to ask a little bit maybe about the overall Las Vegas market. I mean it seems like there's what we would call, I guess, kind of mixed messages out there. I mean unemployment, as you mentioned, looks good. It's low. Housing market still seems relatively strong. So just trying to -- just wondering here what you guys think is maybe causing some of that market softness as it just seems to be a bit confusing as to what's going on out there? 
Keith Smith: Yes. So in terms of what's causing the softness, it's always hard to kind of unpack and understand exactly what's driving the Nevada numbers came out earlier today. And if you look at the Locals market on a kind of last 3 months basis, adjusting for a new competitor, it has declined at a mid-single digits. And so -- and even if you look back to January and February, there were some small declines on a trailing 3-month basis. So the market has been soft for a couple of months. It's not just March.
 As we talked in our prepared remarks, our core customer is actually performing well. We continue to see growth from that core customer. It is more the retail customer where we're seeing the softness. The retail customer is more economically sensitive, inflation and other changes in the economy. And so my guess is it's that customer that is simply being more cautious about how they're spending their discretionary dollars. 
Steven Wieczynski: Okay. And then second question, I guess, in terms of staying in Las Vegas around the promotional environment. Obviously, Durango is open. I assume they're out there promoting. And it seems like you guys are obviously kind of drilling somewhat of a line here and not going to go down that path too much. But I guess the question is, at what point do you maybe start to think about promoting? Or are you guys just going to kind of hold the line here and again, not go down and kind of chase the dollars right now? 
Keith Smith: I'll make a couple of comments. One is we think about getting more promotional each and every day. We don't do it because we're -- we have a strong discipline to not do it. The good news is that our major competitor, even with the opening of a new property, really has not elevated their level of promotions. It is some of the other smaller operators, independent operators kind of around town, there are some properties around the Orleans and the Gold Coast that have gotten more promotional late in 2023 and into 2024 that I think are impacting the market.
 So we are very disciplined. It's not that we don't trial things. It's not that we don't test different programs. We simply don't stick to the same playbook, but we're just trying to stick to a reinvestment level that doesn't increase our overall costs. So we'll continue to monitor, we'll continue to test the market, we'll continue to try new programs and monitor the market. But look, today, the team is doing a great job managing through it, generating nearly 50% margins, which significantly elevated than anything we've seen prior to the last several years. And so I think the team is doing a great job. Josh, if you want to add anything? 
Josh Hirsberg: No, I think you did it. 
David Strow: Our next question comes from Joe Greff of JPMorgan. 
Joseph Greff: I also want to touch on the Las Vegas Locals market here. And just -- Keith, just so we're crystal clear in understanding how you're thinking about that market. You said there were three reasons, each with about a 1/3 weight in terms of the performance Locals cost comparisons. The last year's record monthly results Durango and then same-store softness. So that means each of those things contributed about $5 million in terms of year-over-year EBITDA decline, correct? 
Keith Smith: Yes. You're in the ballpark. 
Joseph Greff: Okay. Right. And then Durango and the same-store softness was that more pronounced towards the end of the quarter versus the beginning? Because your comments are a little bit different than what you guys indicated 3 months ago in the fourth quarter call. Is that a fair deduction? 
Keith Smith: So yes, the market softened -- or the softness in the market, I think, increased as you went through the quarter. So if you look at -- once again, the Las Vegas gaming numbers that come out on a monthly basis, when we last updated at the end of January, 1st of March, we didn't have the full January numbers at that point. We were looking at the end of the year. When you look at January, February and March came out this morning, you'll see on a trailing 3-month basis. For each of those months, the softness in the market accelerating.
 And when I talk about this, it is making an adjustment for the new competitor, and you can make whatever calculation you want as to the revenue you think that new competitor is doing. But regardless of what level you pick, assuming any reasonable level of revenue, the market has declined. And once again, it's increased as you've gone through January, February and March. 
Josh Hirsberg: I think the thing I would add to it, Joe, is -- Go ahead. Put your follow-up, then I'll add. Go ahead. 
Joseph Greff: No, I was going to say on that point, Keith, so just we look at isolating for the impact of a competitor in Durango, you're saying that the impact worsened or was more pronounced in March versus February and January. Is that fair? 
Keith Smith: Yes. 
Joseph Greff: Okay. And what are you seeing in so far this quarter, is it consistent? Is it worse? 
Keith Smith: What we're seeing within our numbers, I would say it's fairly consistent with what we saw in February and March. We're not seeing an acceleration of the softness, and we're not seeing the reversal of the softness. 
Joseph Greff: Got it. And then -- and Josh, you were going to say something that I think... 
Josh Hirsberg: I'll add a couple of things. So first of all, I think in Keith's remarks, he reiterated kind of our expectation that the impact would be $20 million to $25 million this year. So I think we're not really changed -- we are not changing our view with respect to that expectation. I think the other thing to understand is while we are focused on the newest competitor in the marketplace, what we are seeing is maybe an impact from other smaller competitors that are more responsive to it than we are.
 And so you can focus on Durango as the newest operator in the marketplace. They have a great facility, new facility, everybody knows how well it's doing. But there are other competitors in the marketplace other than ourselves and our largest competitor here that are reacting differently to that new competition than we are. And what we're trying to say is, those are the folks that are having an impact on our business, and Durango is maybe have a lesser of an impact. Just so you can kind of understand the dynamics of the marketplace. 
Joseph Greff: Got it. And then, Keith, one of your final prepared comments, you talked about seeing growth in your core players. Can you talk about that in some greater detail? Is a way to interpret your comments that it's growing, but at a decelerating pace is still positive? Or is it growth -- and is it slightly accelerating? And if you can share us what exactly you mean by that? Growth in core players, or from the core players. 
Keith Smith: So when we talk about growth in core play, it is revenue from that core group. And the revenue has and continues to grow from that core group. I don't have the statistics in front of me to tell you whether it's accelerating or decelerating. My sense is it's relatively stable in terms of the growth rate. Josh may have something to add. But the revenue from that group of customers on a year-over-year basis is continuing to grow. And Josh, you have some... 
Josh Hirsberg: Well, I was just going to say you have to remember, part of what we're talking about is a comparison to record results last year. So when you start thinking about what is happening with core customer growth, you have to do it in the context of putting that on a relative basis. So excluding January, core customer growth -- the core customers grew in both February and March. And so that's what's skewing these results as well as that comparison to prior record year results.
 And let me just add a little bit more color around that. If you look at Las Vegas Locals, our performance last year, as we mentioned in our remarks, were record results. Every month was a record. But 75% of the year-over-year performance gain that happened last year, all happened in January. So you have to kind of be sure you kind of keep all this in perspective as you think about what's happening and as we move through the quarter because a lot of it has to do with just a comparison related issue and then a soft market where we've had competitive -- a new competitor and incremental competition responding to that new competitor. 
David Strow: Next question comes from Carlo Santarelli of Deutsche Bank. 
Carlo Santarelli: Guys, I think mine involves the fourth quarter a little bit as well. But if I look at Midwest & South, historically speaking, 1Q tended to be a larger period than 4Q. And I know with year-end, sometimes there's accruals that true up in your favor and whatnot. And the fourth quarter margin was surprisingly stronger than expected, if I recall. This one a little bit weaker than expected. Was there anything onetime in there that may be caused cost to look a little bit maybe overstated for the period? And should we expect a similar kind of seasonal run rate on the expense side moving forward this year? 
Josh Hirsberg: Yes. Thanks, Carlo. I think, really, what you have to remember when you look at the quarter for the Midwest & South, it's all about weather, and it's all about January. I mean January was essentially wiped out because of the weather influence. So if you really want to kind of see what was going on, I think the easiest way to do that, and you obviously can't do it, but we can, we can look at February and March of this year. I understand it's 2/3 of the quarter, but January was essentially affected significantly by weather. And you look at February and March of last year and say what was going on.
 Margins in February and March of this year were 39%. Margins last year in February and March were 40%. So I don't look at that, quite honestly, as any really change in direction of expenses or anything else around the Midwest & South, other than really taking into account what we talked about all last year around property, insurance and labor-related costs that are going to kind of bleed through the first half and maybe a little bit into the third quarter of this year, especially when you're looking at the Midwest & South. So hopefully, that helps kind of. I mean all of the declines happened in the Midwest & South with respect to revenues happened in January. February and March, grew. 
Carlo Santarelli: Understood on that front. And then, I guess, along those lines, Josh, from an EBITDAR margin perspective, are you saying margins were up in February and March as well? 
Josh Hirsberg: I'm saying February and March, when you look at February and March, margins were, on a combined basis, 39%. When you look at February and March versus last year, on a combined basis, again, just trying to get the weather out of the conversation, they were about 40%. If you look at them on an individual a month, they were a little bit less, but not materially less. And that's reflective of what the expenses that we've talked about last year that still have to kind of work their way through the system, if you will. Labor, property, taxes, et cetera. 
Carlo Santarelli: Got it. And when you anniversary the bigger stuff, i.e., when on a static kind of revenue environment should we be looking for kind of margins in that segment to flat out? 
Josh Hirsberg: Yes. So the biggest impact has come from introduction of the minimum wage, and that was rolled out throughout. It began in, if I remember correctly, in the Midwest & South, late 2022, and the last vestiges of the increases happened somewhere around midyear of last year. Around midyear of last year is also when most of the increases in Las Vegas also went into effect around the minimum wage. So you can -- first half of this year will mainly get most of the increases in labor through both Midwest & South and LVL. 
Keith Smith: Said another way, Carlo, second half of the year, we should be on a equal footage. 
David Strow: Our next question comes from Barry Jonas of Truist Securities. 
Barry Jonas: Sorry. Can you hear me now? 
David Strow: Yes, we can hear you. 
Barry Jonas: Great. So just following up on the last question, I just want to make sure I'm clear. In terms of the negative flow-through that you saw this quarter in each of the land-based segments, is your expectation that there's another quarter sort of constrained flow through when you should sort of get back to more normalized in the second half of the year, obviously, assuming sort of a normal top line environment? 
Josh Hirsberg: Yes. So look, I think we were pretty -- at least I thought we were pretty transparent when we talked about expenses in 2023. So I'll try to remember what we communicated then. But there were around -- obviously, we had labor pressures that, as Keith succinctly described recently, just now. We'll kind of anniversary those in the second half of this year. Secondly were property taxes and property insurance. Those largely went up in middle of the year and to a lesser smaller degree in September. So labor, we're going to largely get through by the second half of the year. Property taxes and property insurance, we're assuming not the same level of increases. So that should be kind of a third quarter kind of event also and then we should be on a level playing field. I hope -- hopefully, that helps, Barry. 
Barry Jonas: Yes. And then just one other question talk about Locals and what you're seeing there. As you think about the new competition impacting your Locals segment, I'm just curious, is it more specific to any properties or fairly spread out across all the Locals properties in your portfolio? 
Josh Hirsberg: I'll take it real quick, Barry. And if, Keith, you want to add anything, jump in. But it's primarily -- it's concentrated in a couple of properties. I think one of the benefits we obviously have is we have some property -- we have -- we own more than one property in the Las Vegas Locals market. We can see markets that -- properties that are being impacted by competition. And we can see those that aren't being impacted by competition. And that helps us identify what is going on in the market more broadly and then what is the effect of competition. That's how we can kind of quantify the 1/3, 1/3, 1/3 numbers that we stated in our comments. So it is a subset of our properties that are being impacted by competition. 
Barry Jonas: Just geographically closer to the new property? Or I assume that's the common denominator? 
Keith Smith: No. Look, I think we've -- the new competitor that launched is having an impact on -- a direct impact on our properties, but to a lesser extent than we had predicted. It is the ripple effect or the trickle-down effect that happens in the market when everybody starts then to lose customers and compete for those customers. I said in answer to an earlier question, what we're really seeing is some heightened competition in properties directly around Gold Coast and Orleans that have started to increase, and frankly, it goes back to the end of Q4 when they enhanced their kind of level of spend and have kept it at those levels.
 And so I wouldn't think of it as really the new competitor. Durango, I would think of it as just there's a little bit of that and there are just others that are competing more aggressively or surrounding some of our other properties. 
David Strow: Our next question comes from Dan Politzer of Wells Fargo. 
Daniel Politzer: Josh, you talked about February and March and juxtaposing that versus January. Have you seen that strength or the relative strength to continue into April? Maybe as comparisons get easier and have the margins kind of still tracked along that 1% lower level that you called out in February and March. 
Josh Hirsberg: Yes. Let me -- I haven't really looked at April margins, to be honest. But -- look, I know that the trends with respect to the customers and the performance of the assets going into April is consistent with what we've made in terms of comments around February and March. So I feel good about kind of answering that question.
 And I would say that -- just doing some math real quick, which I'm not very good at. Yes, so April is about a percentage point behind April of last year. So it seems like it's generally kind of headed in the right direct -- same direction as February and March at this point. 
Daniel Politzer: Got it. And then just to make sure we're on the same page on the Locals. So the $20 million to $25 million that just is basically a little -- that's Durango being a little less worse, but also it's more -- the knock-on effect is worse. But that doesn't include any of the market softness impact that you've seen thus far this year. Is that fair? 
Keith Smith: That is fair. As I described in my comments, it's 1/3, 1/3, 1/3. And so the $20 million to $25 million is one of the thirds. The market softness is the other 1/3. And yes, the comparison to last year, which was just a very, very strong, first quarter is the other 1/3. So yes, they're all separate and distinct. 
Josh Hirsberg: Yes, based on how we could evaluate what happened in the quarter. 
David Strow: Our next question comes from Shaun Kelley of Bank of America. 
Shaun Kelley: I think we've covered a lot of different angles on Locals and regionals. So maybe I'll just tackle Downtown briefly. You called out pedestrian and foot traffic. There, obviously, keep some specifics around the Hawaiian segment, too. But just kind of any theories on the pedestrian level there, just given that you did have Super Bowl in market in general, traffic levels across the strip have been pretty good and we kind of think they should be decently correlated. So it's not a market that we get quite as much information on. Just any thoughts about -- from your operators about what's going on there? 
Keith Smith: No, I think we were surprised by the slowness, if you will, of traffic on Fremont Street. And the overall declines in traffic Downtown generally as we watch the numbers, outside, obviously, the Hawaiian business for us is a large chunk of our overall revenue stream, gaming revenues were Downtown. So that had an impact. But really no theories around the specific slowdown kind of retail customers Downtown. It just -- it was just soft for a few months. Now again, as we said, Hawaiians are picking back up, feels like general traffic Downtown is picking back up. But no -- I can't put my finger on an explanation. 
Shaun Kelley: Got it. And then just same for Locals, I think this is a repeat, so apologies for making you do it. But when we just disaggregate that Locals market softness, that component of the third. Is that a traffic problem, i.e., are these people going somewhere else and being attracted in by those promotions? Or is it just like [indiscernible] problem, there's not quite spending as much? 
Keith Smith: Well, once again, we break it into kind of our core customers, which, as I've said a few times here in, the Locals market continue to grow. And they continue to grow just to make sure, Josh, we're trying to ensure people kept us in context, they continue to grow in the first quarter over a very strong first quarter of last year. So it's really a very good sign that our core customers are continuing to show up and spend more money. It is the retail side, the lower end customer where we're seeing the shortfall in the lack of spend.
 And is it the economy? Is it they're going to a competitor? Is it they're sharing their wallet? A lot of these are unrated players. So we actually don't know exactly what the -- how they're spending their dollars, whether they're not spending them, whether they're sharing them with another property, we just don't have the visibility because they're not rated. So... 
David Strow: Our next question comes from Chad Beynon of Macquarie. 
Chad Beynon: Josh, if I got this right, based on the pass-through revenues for Interactive, it looks like Boyd Interactive, I believe year-over-year may have grown double digits. Also sequentially, it looked like it probably grew double digits as well. Can you just kind of give us an update in terms of how that product is being received by customers and any plans to kind of ramp up marketing or drive at least revenue higher in the next couple of quarters? 
Keith Smith: So Chad, I presume you're talking about the Stardust online casino product when you referenced Boyd Interactive? 
Chad Beynon: Yes, please. 
Keith Smith: I just want to make sure that I was going to answer the right question. So look, we're very pleased with the kind of the steady rollout of that product and where it's at. So we're less than a year into market with our own product because it launched May of last year. We're live in Pennsylvania and New Jersey. The Pennsylvania revenue numbers, frankly, are about double where they were when we took it over.
 New Jersey not -- hasn't grown quite as robustly as Pennsylvania, but they're both still ahead of where they were when we launched those businesses. There's also the Stardust Social product that we're running out of Boyd Interactive. So look, overall, it is a small business. As we continue to say, it is a growing business. And remember, we have described this as we're taking a regional approach, not a national approach. So we want to launch in the states where we do business and a few surrounding states that are important to us, but the business does continue to grow and is ahead of our expectations from where we thought it would be. 
Chad Beynon: Great. And then you always get the question sometimes even a few times on these calls about M&A. Anything changed really in the last 2 months as you've seen more properties or portfolios come across your desk now that some of the sugar high revenues have worn off, and I think we have a better path towards interest rate declines? Any update there? 
Josh Hirsberg: Yes. Really not. I would say that we continue to evaluate opportunities. I would say that we're going to continue to be disciplined in how we evaluate those opportunities. There are a lot of things that are for sale that don't meet the criteria that we kind of put forth for ourselves and making a decision. So we're going to continue to be disciplined in how we think about acquisitions, continue to be disciplined in terms of our capital allocation strategy, continue to stay committed in reinvesting in our business and our return of capital to shareholders. And then to the extent something were to come along that -- kind of strategic for us, generated the free cash flow that we wanted to and could create value for our shareholders, then that's when we'll kind of be aggressive around it. Otherwise, we'll continue to be a spectator to that [indiscernible]. 
David Strow: Our next question comes from David Katz of Jefferies. 
David Katz: I wanted to go back to Downtown just one more time, if that's okay. Some of the dynamics, Keith, that you described in the prepared remarks about flight costs, et cetera. Can you just give us a sense of whether those are continuing into the second quarter? Or what your expectation is as to how long that particular market is going to be impacted? 
Keith Smith: During the last kind of 30 days, we've seen a decline in airfares coming out of Hawaii. And conversely or directly correlated to that, we've seen a pickup in our Hawaiian business. And so it looks like it is starting to -- the rates are starting to decline from their highs earlier in the year. Look, rates into Las Vegas across the board were extremely elevated in late January and February because of the Super Bowl.
 And so we just know by looking at our database, many of our Hawaiian customers stayed away because they simply weren't going to pay the higher airfares and now they're starting to make their trips. And so there is a direct correlation there. Best as I can tell, I don't control airfares, but it looks like the airfares inbound from Hawaii seem to be normalizing or continuing to become less than they were earlier in the year. So yes, we expect that, that will continue and that we'll continue to see a rebound in our Hawaiian business. 
David Katz: Got it. And if I can just sort of -- I know we've sort of discussed this pretty thoroughly, but just come out at one slightly different way. I think we were sort of hearing commentary about Las Vegas Locals since the new property opened late last year, and it seemed to be a relatively benign impact or at least that's what the commentary was. Did we sort of misinterpret what we were hearing? Did it turn out to be just a little worse? Did it accelerate at some point? How would you sort of look back and characterize? 
Josh Hirsberg: I think, first of all, we can all -- we were able to talk about what was going on through the first -- at our fourth quarter call. So we were consistent with that. I think the second thing is, it did accelerate as we move through the quarter not so much from the new competitor getting more aggressive from a promotional perspective, but from others in the marketplace as Keith tried to describe getting more promotional. Some advocating they have the most generous loyalty program in the Las Vegas Locals market.
 So we're contending with those type of pressures on our properties without being aggressive and responding promotionally because we don't think that is a profitable way to run our business. So I think you had a soft market, you had a new competitor come in. Everything was kind of stable and getting slowly absorbed and then you had some competitors, again, not us and not our major competitor in the market get -- start to get significantly more aggressive and that started to influence our performance. 
David Strow: Our next question comes from Brandt Montour of Barclays. 
Brandt Montour: So Josh, you mentioned -- you reiterated the $100 million of growth projects to think about that as recurring. And the projects you're working on right now ends in June. And I know this isn't going to be the big unveil, right, on the next one you're thinking about. But maybe just a scope or type or do you think maybe you want to tease out there in terms of what we could hear about in a couple of months here? 
Keith Smith: Yes. Brandt, this is Keith. I think we're -- you're right, there is no big unveil today. We'll leave that probably for our next call. We have several projects -- we have a pipeline of projects that we're getting ready to embark on, but not prepared to describe any of them yet. Many of them are still in the planning and design phases, still finalizing budgets and time frames for them. But there's a pipeline of them and we'll be prepared to talk about them in the very near future. But nothing today, no teasing out, no potential this or potential that. 
Brandt Montour: Okay. So I give it a shot. And then over at Sky River, obviously, great results there so far. And thanks for the updated guidance. The expansion of that, could you -- maybe give us a sense of timing and scope what we can sort of think about for that? 
Keith Smith: Look, in terms of scope, once again, expanding casino hotel, meeting and convention space, probably a few additional restaurants is the general scope. It's not to the point where the Tribe has announced. We're not going to announce on their behalf kind of the exact number of slots will be adding or tables or anything else at this point. Timing, we're waiting for final regulatory approval. There's a number of regulatory approvals, including from the NIGC. And so we're awaiting those. Once we get all of those approvals, which we certainly hope is in the very near term, I think the Tribe is ready for groundbreaking, but we have to wait for all the final approvals before we can go any further. 
David Strow: Our next question comes from Ben Chaiken of Mizuho. 
Benjamin Chaiken: Just one very quick clarification in Downtown. The comment about the last 30 days kind of improving. Was that a reference to the airfare and Hawaiian visitation? Or would that also -- did that also encompass the kind of like broader Fremont visitation demand as well? 
Keith Smith: It was more specific to the Hawaiian business, which we have obviously very, very good visibility into. We don't have great visibility on a weekly basis to overall counts Downtown. But so it really was specific to the Hawaiian traffic. 
Benjamin Chaiken: Understood. And then on -- for Treasure Chest, any color on how you're thinking about that opening from both a demand standpoint and timing? Is this the same customer you expect to return or someone else? And then should we expect any disruption as that development transitions over the next couple of months? 
Keith Smith: So I think the way to think about it is this is a significantly enhanced facility moving from a 3-story riverboat to -- on water to the dry side of the levy and land-based and much more convenient parking and much -- many more food and beverage amenities and just an overall better environment. So we expect a good uplift on the overall EBITDAR from that property, both revenue and EBITDAR. We expect to get a good return on our investment there.
 It is, yes, the existing customer. And yes, it is a new customer. We're confident that we can grow the market there, and obviously build that business. That's why we did it. We spent a lot of time studying this. Overall, the casino floor will not be larger than it is today, but it will be more efficient because it's not spread over 3 floors. It's all on 1 floor. So it's not like we're going to have 3x as many slots. As a matter of fact, we'll have a similar number of slots. They'll just be more efficient because it's all on 1 floor, same with table games. But it will be much more attractive assets, much more inviting assets, and we're confident that it will draw in significantly more customers.
 And in terms of disruption, they'll be minor. We'll have to likely and this will be based on requirements of the Louisiana regulatory authorities and state police. We'll likely have to shut for a few days while we transition some items. But outside of maybe being shut for a couple of days, midweek, I would not anticipate any disruption. 
David Strow: Our next question comes from Jordan Bender of Citizens JMP. 
Jordan Bender: I want to touch on the cadence of your Online EBITDA. So backing out the onetime item in the prior year, I think EBITDA was up about $3 million or so in the quarter. And your guidance kind of implies for the remainder of the year of a flattish outlook. I guess it might be a call on the growth of FanDuel. But can you maybe unpack how you're thinking about the outlook for that segment for the rest of the year? 
Josh Hirsberg: Yes. I think that we've been pretty -- well, since Q4, we've been pretty consistent that we kind of expect this range of $60 million to $65 million. And we're -- obviously, we have -- we know some of the onetime items that were in there in our numbers last year from some of the skins we sold and things of that nature. And so there's actually growth in the business if we can continue to hit in the $60 million to $65 million range. I guess there's a potential we do better. Obviously, this is very seasonal. We're out of the best quarter of the year, and we'll get another look toward the end of the year when football season starts back up. So everything between now and then is going to be more modest, we expect.
 So we'll just have to -- I think we'll know more as we get to the fourth quarter, if it's going to be better or not. But from where we sit today and factoring in some of the onetime items that occurred last year and building a little bit of growth, that's kind of where it plays out. So that's the best we can do right now, at least our view. 
Jordan Bender: Understood. And then within the Midwest & South segment, I guess, more in the South, is there any change to that lower tier customer either positive or negative from what we saw in the back half of last year? 
Josh Hirsberg: Not really. I would say that in the late part of 2022 is when we saw the South get softer than the rest of the region. I would say as we've moved through, the region has started to more perform all similarly in line, and that's what's happening in Q4 of last year and in Q1 this year, all of the customer trends are kind of headed in the same direction, whether you're talking about regardless of the region of the Midwest & South or the customer side, core or retail. 
David Strow: Our next question comes from Joe Stauff of SIG. 
Joseph Stauff: Just one more back on Las Vegas Locals. Just curious to see if the -- whether it be the new competition or even the growth in the market, especially over the past couple of years in the outlook, has that at all changed the way that you think about the required level of capital reinvestment? And I know you're not going to reinvestment, specifically say you're not going to compete on a promotional level, but more on any larger capital projects you think you need in your portfolio whether it be in response to competition and/or for the longer term? 
Keith Smith: Yes. We think of the capital program that we have going on in terms of upgrading many of our food and beverage amenities and upgrading our hotel rooms as a form of maintenance. Look, it's a very highly competitive business, whether it's here in Las Vegas or it's across the country. We operate in local markets, frankly, everywhere we operate outside of Las Vegas. So we need to continually refresh those, customers want to see new and different food and beverage offerings on a frequent basis. And so these really are not defensive. They're just going to require to, we think, to maintain our level of business to maintain our focus on our core customers, ensure our core customers continue to come back and visit us.
 And so it's not in response to anything in particular. Some of the work that we have going on at the Suncoast, that property was opened in 2000 and therefore, it's now 24 years old. And every 24 years, you have to refresh things. And so that's what we're in the process of doing. 
David Strow: Our final question comes from John DeCree of CBRE. 
John DeCree: I'll make it quick. You may have touched on it already, but not sure if I missed it. A lot of talk about promotional environment in Locals, but if you had any color or commentary on the Midwest & South segment, maybe broadly competitive promotional environment? And then if there's any specific areas where you see any different or change in behavior on the competitive or promotional front would be helpful? 
Keith Smith: John, as I just reflect on your question quickly, no real significant changes in any of our Midwest & South operating markets from a promotional environment. Nobody is all of a sudden doing anything crazy in the last quarter. We're stepping out and being ultra-aggressive just stepping back for a moment and thinking. But no, nothing to report. It's all fairly stable.
 Once again, as we've talked over the quarters, some of our competitors got aggressive several years ago, and they've stayed aggressive. Others have remained more disciplined like us, and they've remained more disciplined. So there's really no material changes in any of our markets outside of Nevada from promotional spend or aggressiveness of the promotional environment standpoint. 
David Strow: This concludes our question-and-answer session. I'd now like to turn the call over to Josh for concluding remarks. 
Josh Hirsberg: Thanks, David. Thanks to everyone for joining the call today. If you have any follow-up questions, feel free to reach out to the company and we'll make ourselves available. Thank you again, and have a good rest of your day. 
David Strow: Thanks, Josh. This concludes today's call. You may now disconnect.